Operator: Greetings, and welcome to the Take-Two Q4 Fiscal Year 2023 Earnings Call. At this time, all participants are in a listen-only mode. [Operator Instructions] As a reminder, this conference call is being recorded. It is now my pleasure to introduce your host, Nicole Shevins, Senior Vice President of IR and Corporate Communications. Thank you, Ms. Shevins, you may begin.
Nicole Shevins: Good afternoon. Thank you for joining our conference call to discuss our results for the fourth quarter and fiscal year 2023 ended March 31, 2023. Today's call will be led by Strauss Zelnick, Take-Two's Chairman and Chief Executive Officer; Karl Slatoff, our President; and Lainie Goldstein, our Chief Financial Officer. We will be available to answer your questions during the Q&A session following our prepared remarks. Before we begin, I'd like to remind everyone that statements made during this call that are not historical facts are considered forward-looking statements under our federal securities laws. These forward-looking statements are based on the beliefs of our management as well as assumptions made by and information currently available to us. We have no obligation to update these forward-looking statements. Actual operating results may vary significantly from these forward-looking statements based on a variety of factors. These important factors are described in our filings with the SEC, including the company's most recent annual report on Form 10-K and quarterly report on Form 10-Q, including the risks summarized in the section entitled Risk Factors. I'd also like to note that unless otherwise stated, all numbers we will be discussing today are GAAP and all comparisons are year-over-year. Additional details regarding our actual results and outlook are contained in our press release, including the items that our management uses internally to adjust our GAAP financial results in order to evaluate our operating performance. Our press release also contains a reconciliation of any non-GAAP financial measure to the most comparable GAAP measure. In addition, we have posted to our website a slide deck that visually presents our results and financial outlook. Our press release and filings with the SEC may be obtained from our website at take2games.com. And now I'll turn the call over to Strauss.
Strauss Zelnick: Thanks, Nicole. Good afternoon and thank you for joining us today. I'm pleased to report that we concluded fiscal 2023 by delivering strong fourth quarter results, including net bookings of $1.4 billion, which were above the high end of our expectations. On behalf of our management team, I'd like to thank all of our colleagues around the world for helping us achieve these results and supporting our vision to become a more scaled, diverse industry-leading organization especially as we navigate an oftentimes volatile and uncertain economic landscape. With fiscal 2024 underway, our initial expectation is to deliver full year net bookings in the range of $5.45 billion to $5.55 billion. We're assuming a continuation of the current challenging consumer backdrop within our forecast. Additionally, the development timelines of some of our titles lengthened especially as we strive to redefine the creative standards of excellence of our industry, which affect our release slate for the year. Looking ahead, fiscal 2025 is a highly anticipated year for our company. For the last several years, we've been preparing our business to release an incredibly robust pipeline of projects that we believe will take our company to even greater levels of success. In fiscal 2025, we expect to enter this new era by launching several groundbreaking titles that we believe will set new standards in our industry and enable us to achieve over $8 billion in net bookings and over $1 billion in adjusted unrestricted operating cash flow. We expect to sustain this momentum by delivering even higher levels of operating results in fiscal 2026 and beyond. I'd now like to discuss several key highlights from fiscal 2023, which was a milestone year in the 30-year history of our organization. We delivered net bookings of $5.3 billion, which reflects both the transformative evolution of our company through our combination with Zynga, and our ability to create market and distribute the highest quality entertainment experiences. We made excellent progress integrating Zynga. The combination has been highly accretive to our business as we've embarked on new revenue-driven opportunities, exceeded our anticipated cost synergies for year one and enhance further our mobile platform through select acquisitions. As we approach the one-year anniversary of our combination, we're immensely proud of the trajectory of our integration and the strength of our shared culture and values. Our headcount now stands at nearly 12,000 talented individuals, including approximately 9,000 developers in our studios throughout the world, which positions us exceedingly well to reach the full potential of our pipeline. And we've maintained our focus on our core tenet of efficiency. We've taken a rigorous approach to our cost reduction program announced in February, which we believe will surpass meaningfully the $50 million in annual savings that we originally anticipated. Our fourth quarter outperformance was led by strong results from Grand Theft Auto V and Grand Theft Online, Red Dead Redemption 2 and Zynga's mobile portfolio. Broadly speaking, the macroeconomic environment remained relatively consistent with what we experienced throughout the third quarter holiday season, while consumers continue to exercise restraint with their purchasing behaviors they prioritized blockbuster franchises and titles that offered great value. As a result, our vast catalog of proven high-quality titles achieved strong results. As part of our ongoing portfolio management measures, we made the decision to cancel several unannounced titles in development, which we believe will enable us to tighten our focus and reallocate resources to projects for which our creative teams have higher levels of conviction expectations of success. Excluding the associated write-offs, our fourth quarter and full year management earnings results were above the high-end of our guidance. We manage our pipeline actively, sometimes making difficult decisions to ensure that we're meeting our creative standards and achieving financial returns that are consistent with the goals of our company. We believe that an evolving robust pipeline is an essential part of our long-term strategy to expand, enhance and diversify our portfolio to grow our player base and to launch a multitude of new hit franchises across an array of platforms and business models. Turning to the performance of our titles for the period. Grand Theft Auto V exceeded our expectations, and to-date, the title has sold in more than 180 million units worldwide. As hardware supply constraints receded, Grand Theft Auto V and Grand Theft Auto Online adoption on the latest generation of platforms continued to grow. For the first 3 weeks of Grand Theft Auto Online's Holiday update, PlayStation 5 and Xbox Series X/S consoles grew to 14% of its audience penetration and 25% of its revenue penetration, up from 11% and 20%, respectively, versus last summer's content update for the comparable period. During the period, Rockstar Games continue to support the passionate global Grand Theft Auto online community with an array of new content offerings, including The Last Dose an epic finale of the Los Santos Drug Wars update as well as the roving Gun Van, Taxi Work Missions, a new 50 Car Garage, new vehicles, clothes, weapons, modes and much more. Los Santos Drug Wars introduced a phased approach to delivering high-value content, creating a much longer tail of sustained engagement in net bookings than we've seen with previous content updates. Additionally, GTA plus Rockstar's premium membership program continues to perform well, driven by a positive response to monthly events since the launch of Los Santos Drug Wars. Red Dead Redemption 2 outperformed our plans and to date, the title has sold in more than 53 million units worldwide. We're also pleased with the continued engagement of players with Red Dead Online as demonstrated by its 10% year-on-year increase in new online players on all platforms. NBA 2K23 continues to grow its audience with the title selling in over 11 million units to date, a record for the series at this stage and achieving its highest ever virtual currency sales. In addition, engagement with NBA 2K23 remained incredibly strong, with approximately 2.3 million daily active users, including growth in The City, MyCAREER and MyTeam users. NBA 2K23 arcade addition continues to bring the best basketball experience to mobile devices and has maintained its number one position on Apple arcade. Building upon Visual Concepts’ resounding success and reinvigorating our WWE franchise last year, WWE 2K23 enjoys the highest metacritic review score average in the history of the series. Engagement with the game has been outstanding, players logging nearly 8 million hours of gameplay and facing off of more than 100 million matches. 2K is supporting the title with a series of add-on content that can be purchased individually or as part of the season pass. We value deeply our relationship with the WWE and look forward to continuing and expanding upon our successful partnership in the years to come. Private Division and Intercept Games launched Kerbal Space Program 2 in early access for PC on Steam, Epic Games Store and other storefronts. Our teams are encouraged by the incoming player feedback, and we've already implemented several updates with more on the way as development continues. Last week, Private Division announced a partnership with Game Freak to publish their upcoming new action-adventure IP, which is one of Private Division's most ambitious projects to date. In addition, Private Division and the Roll7 studio were recently honored with 2 prestigious industry awards, the BAFTA for Best British game for Rollerdrome and Best Sports Game at DICE for OlliOlli World. Zynga's mobile business had a strong finish to the year. In-app purchases were above our expectations. Momentum has continued and we were pleased to experience strong demand over the Easter holiday. Efforts to increase our advertising business are tracking well with ad revenue growing quarter-over-quarter and accounting for approximately 27% of Zynga's net bookings. Our teams are successfully increasing advertising supply in our games, investing in optimization and implementing new ad products, which are helping us monetize a much broader cohort of users. Our direct-to-consumer efforts are tracking well with numerous titles currently in our platforms and plans for nearly all mobile games across our labels to leverage our highly profitable proprietary distribution channel over the next few years. A few highlights of Zynga's offerings during the period include Empires and Puzzles, Zynga's highest grossing title drove engagement through its new in-game event, Season of Love. Zynga's social casino portfolio had its best quarter in nearly two years, driven by record performance from Game of Thrones Slots Casino and strong overall results from Zynga Poker, Hit it Rich! and Wizard of Oz Slots. Top Eleven had a robust quarter and launched its Proving Ground: England mini game update in February, which challenged players to recreate the greatest moments in the English football history. The new Race Pass from CSR Racing 2 continued to drive player engagement, retention and monetization with innovative new profile banners for players to collect.  We remain quite pleased with our hyper casual mobile business. Popcore achieved strong results during its first full quarter under our ownership. Additionally, Rollic has increased its profitability and the studio celebrated several milestones during the period, including the first anniversary of its hit title Fill the Fridge!, and social media inspired Pressure Washing Run, reaching the number one most downloaded spot in Apple's U.S. App Store. In closing, as we continue to pursue our mission to be the most creative, the most innovative and the most efficient entertainment company in the world, we do so incredibly well positioned with a broader portfolio of owned intellectual property, a deeper pool of the industry's top creative talent, and the sound infrastructure to capitalize on the vast opportunities on the horizon. As we execute on our strategy, we believe that we can increase meaningfully our scale and prominence within the industry, grow margins and achieve record-breaking operating results for fiscal 2025 and beyond. I'll now turn the call over to Karl.
Karl Slatoff: Thanks, Strauss. I'd like to thank our colleagues around the world for delivering another momentous year for Take-Two. Our integration with Zynga has gone incredibly well, and we continue to release many of the industry's highest quality, most engaging entertainment experiences, thanks to the incredible passion and talent of our teams. We are extremely excited about our release pipeline, which includes approximately 52 titles through fiscal 2026. Our revised plan reflects several title cancellations as well as the reclassification of our mobile games to include only those titles currently in our plans for worldwide launch. For fiscal 2024, our pipeline includes 16 planned releases. We expect to deliver 3 immersive core offerings. This includes NBA 2K24 and WWE 2K24, our genre defining sports titles developed by Visual Concepts. Additionally, we expect to release an eagerly anticipated new IP from one of our premier studios later this fiscal year. We plan to release 2 mid-core arcade titles, which includes LEGO 2K Drive, the ultimate driving adventure game from 2K and Visual Concepts. LEGO 2K Drive brings the iconic LEGO Play experience into a vast open world where players of all ages can build any vehicle, drive anywhere and become a LEGO racing legend. LEGO 2K Drive is the first release in a multi-title partnership between 2K and the LEGO Group. We are confident that 2K's proven expertise in creating high-quality and engaging interactive entertainment properties combined with the LEGO Group's unprecedented cultural reach, will evolve the iconic LEGO games experience that fans love in exciting new ways. We also plan to launch 2 new iterations of previously released titles and 3 independent titles, including private divisions planned May 23 release of After Us from Piccolo Studios. Players of After Us will navigate stunning environments in a surrealistic world to salvage the souls of extinct animals and restore life on Earth. And lastly, we expect to release 6 mobile titles during the year, including Zynga's Star Wars Hunters, which offers players the opportunity to join the greatest hunters from across the Star Wars Galaxy. Players will engage in thrilling third-person combat in a range of competitive game modes across battlegrounds steady both the iconic worlds of Star Wars. Throughout the year, our Hyper-Casual studios will release the steady cadence of mobile titles, focusing on games that have the potential for enhanced retention rates and a mix of in-app purchases and advertising to drive higher modernization and profitability. Our labels will also continue to provide new content and experiences that drive engagement and recurrent consumer spending across many of our hit franchises, including Grand Theft Auto Online, Red Dead Online, WWE 2K, LEGO 2K Drive, PGA TOUR 2K and throughout Zynga's mobile portfolio. Looking ahead, we currently expect to deliver 36 titles throughout fiscal 2025 and 2026. As always, these plans are a snapshot of our current development pipeline. It is likely that some of these titles will not be developed through completion, that launch timing may change and that we will also add new titles to our slate. Our release slate for fiscal 2025 and 2026 includes 14 immersive core releases, 6 of which are sports simulation games, 2 mid-core games, one of which will be sports-oriented, 4 new iterations of previously released titles, 4 independent titles from Private Division, 2 of which include our previously announced partnerships with Wētā Workshop and Game Freak and 12 mobile games. In addition to our full game releases, we will continue to offer post-launch content for nearly all of our titles, including Virtual Currency, DLC packs and Season Passes. Given the strength of our upcoming release schedule and the high degree of visibility we have into our pipeline, we believe that we'll achieve the record levels of results that Strauss mentioned. Including over $8 billion in net bookings and over $1 billion in adjusted unrestricted operating cash flow in fiscal 2025 with further growth in fiscal 2026 and beyond. As we approach the significant inflection point in our business, we believe our expanding scale and margins will generate industry-leading returns for our shareholders. I'll now turn the call over to Lainie.
Lainie Goldstein: Thanks, Karl, and good afternoon, everyone. Today, I'll discuss the key highlights from our fourth quarter and fiscal 2023 before reviewing our financial outlook for the full year and first quarter of fiscal 2024. Please note that our results include our combination with Zynga, which affects the comparability of our results relative to last year. Additional details regarding our actual results and outlook are contained in our press release. I'm so proud of our team for their strong execution and unwavering focus throughout the year. We made fantastic progress on our integration with Zynga delivered incredible high-quality content and announced several exciting new games from our pipeline. Efficiency was also a major area of focus. We announced our cost reduction program in February, and as part of our ongoing portfolio management process, we canceled several titles that we anticipated would not meet our internal hurdle rates. We are confident that all these steps will help grow our scale, enhance our long-term margin structure and ultimately deliver sustainable returns for our stakeholders. As Strauss mentioned, we finished fiscal 2023 with momentum and delivered fourth quarter net bookings of $1.39 billion, which was above our guidance range of $1.31 billion to $1.36 billion. This reflected better-than-expected results from Grand Theft Auto V and Grand Theft Auto Online, Red Dead Redemption 2 and Zynga's mobile portfolio. During the period, recurring consumer spending growth 115%, which was above our outlook of 105% growth and accounted for 78% of net bookings. The outperformance was primarily driven by Zynga and Grand Theft Auto Online. Digitally delivered net bookings increased 76%, above our guidance of 70% growth and accounted for 97% of the total. During the quarter, 78% of console game sales were delivered digitally, up from 75% last year. GAAP net revenue increased 56% to $1.45 billion, and cost of revenue increased 207% to $1.22 billion which included impairment charges of $465 million related to intangible assets acquired from Zynga, reflecting forecast changes for a few titles and $54 million relating to capitalized software and development costs for unreleased and canceled console and PC title, a lot of which was included in our management results. Operating expenses increased by 130% to $926 million, which primarily reflected the addition of Zynga, which is partially offset by lower marketing expenses. And GAAP net loss was $610 million or $3.62 per share, which includes $302 million of amortization of acquired intangibles and $45 million of business acquisition costs. Excluding the $54 million impairment charge, our management earnings would have been above the high end of our guidance range. Turning to our fiscal 2023 results. Total net bookings were $5.28 billion, which was above our guidance of $5.2 billion to $5.25 billion. While the challenging macroeconomic backdrop affected certain components of our portfolio, we experienced favorable performance within our catalog of industry-leading intellectual properties and Zynga had a strong finish to the year. The recurrent consumer spending increased 88%, which was slightly above our outlook of 85% growth and accounted for 78% of net bookings. Digitally delivered net bookings increased 63%, which was also above our guidance of 60% growth and accounted for 95% of the total. And during the year, 74% of our console game sales were delivered digitally up from 68% last year. Non-GAAP adjusted unrestricted operating cash flow was $56 million as compared to our outlook of over $400 million. During fiscal 2023, we spent $204 million on capital expenditures. At fiscal year end, we had cash and short-term investments of approximately $1 billion and debt of $3.1 billion. GAAP net revenue grew 53% to $5.35 billion in cost of revenue income 100% to $3.1 billion, which included impairment charges of $465 million related to intangible assets acquired from Zynga and $79 million related to capitalized software and development costs for unreleased and canceled titles, the latter of which was included in our management results. Operating expenses increased by 131% to $3.45 billion, which primarily reflected the addition of Zynga as well as higher personnel, stock compensation and IT expenses. And GAAP net loss was $1.12 billion or $7.03 per share, which includes $1.04 billion of amortization of acquired intangibles and $270 million of business acquisition costs. Today, we provided our initial outlook for fiscal 2024. We project net bookings to range from $5.45 billion to $5.55 billion. The largest contributors to net bookings are expected to be NBA 2K, and Grand Theft Auto Online and Grand Theft Auto V, our Hyper-Casual mobile portfolio, Empires & Puzzles, Toon Blast, Words with Friends, Merge Dragons, Red Dead Redemption 2 and Red Dead Online and Zynga Poker. We expect the net bookings breakdown from our label to be roughly 53% Zynga, 31% 2K, 15% Rockstar Games and 1% other. And we forecast our geographic net booking site about 57% in United States and 33% international. We saw recurrent consumer spending to be up approximately 5% compared to fiscal 2023 and represents 79% of net bookings. Our forecast assumes 76% of console game sales will be delivered digitally. We expect to generate approximately $100 million in non-GAAP adjusted unrestricted operating cash flow, and we plan to deploy approximately $180 million for capital expenditures. We expect GAAP net revenue to range from $5.37 billion to $5.47 billion and cost of revenue to range from $2.51 billion to $2.54 billion. Our total operating expenses are expected to range from $3.39 billion to $3.41 billion as compared to $3.45 billion last year. At the midpoint, this represents a 1% reduction, reflecting lower acquisition costs, the realization of synergies from our combination with Zynga and savings from our cost reduction program, which are partly offset by a full year of Zynga, higher stock compensation and personnel expenses driven by the annualization of new hires and the effect of inflation on other business operating expenses primarily reflected in IT costs. We expect the GAAP net loss ranging from $477 million to $518 million or $2.80 to $3.05 per share, which assumes a basic share count of 170.1 million shares. For management reporting purposes, we expect our tax rate to be 18% throughout fiscal 2024. I'd like to acknowledge that our current forecast for fiscal 2024 reflects the continuation of the challenging economic environment as well as an extension of the development time lines for several high-profile and long-awaited titles. While this affects our expectations for our current fiscal year, our high degree of visibility into our pipeline gives us confidence that we are approaching a significant inflection point in our business where we will achieve new record levels of results for our business next year and beyond. Now moving on to our guidance for the fiscal first quarter. We project net bookings to range from $1.15 billion to $1.2 billion, which reflects the full quarter of Zynga compared to $1 billion in the first quarter last year. The largest contributors to net bookings are expected to be NBA 2K, Grand Theft Auto Online, Grand Theft Auto V, a Hyper-Casual mobile portfolio, Empires & Puzzles, Toon Blast, Merge Dragons, Words with Friends, Zynga Poker, Red Dead Redemption 2 and Red Dead Online. We project recurrent consumer spending to increase by 35%. Our forecast assumes that 79% of console game sales will be delivered digitally, up from slightly from 77% in the same period last year. We expect GAAP net revenue to range from $1.21 billion to $1.26 billion and cost of revenue to range from $572 million to $592 million. Operating expenses are expected to range from $827 million to $837 million. At the midpoint, this represents an 18% increase over last year, which reflects the full quarter of Zynga and higher stock compensation, personnel and IT expenses based on the factors I mentioned previously. And GAAP net loss is expected to range from $161 million to $178 million, or $0.95 to $1.05 per share, which assumes a basic share count of 169.4 million shares. The good thing is we believe that we are very well positioned in our industry to deliver the highest quality content, gain market share and enhance our profitability as we grow our scale and maintain our focus on efficiency. We're extremely excited about our next chapter of growth, and we look forward to our label, sharing more detail about the many exciting projects we have underway. Thank you. I'll now turn the call back to Strauss.
Strauss Zelnick: Thank you, Karl, and Lainie, and thank you to all of our colleagues for your dedication, your hard work and these terrific results. We will now take your questions. Operator?
Operator: Thank you. [Operator Instructions] Our first question comes from Andrew Uerkwitz with Jefferies. Please proceed with your question.
Andrew Uerkwitz: I guess I'll just skip right to fiscal '25 and '26. It's pretty rare that you guys give to your guide like this and we've seen quite a few delays across the industry. Could you just give a little additional color on where the confidence is coming from on being able to provide that to us today?
Strauss Zelnick: Yes, you're right. It's very uncharacteristic of us to talk about subsequent years at this time. We're doing so because we've been investing in a pipeline for a long time. And we now have a great deal of confidence that, that pipeline will be delivered in the next 3 years, 12 titles in fiscal '24, 36 in the following 2 years, up 44% of that is new intellectual property. The rest is new iterations of existing franchises, and that's mobile, console, PC and numerous business models. We couldn't be more excited, fiscal '24 titles look good and as I said, we're very confident in the years to come as well. And we thought it was important to convey that with transparency today.
Andrew Uerkwitz: And then just with the, I think, 44% of new IP, when you're looking this far out, can you walk us through a little bit like how you think about modeling those, the conservatism you're thinking about in some of those? Or just kind of how you come up with the forecast for the new IP?
Karl Slatoff: So as you know, new IP is always a little bit of a wildcard, and it's difficult to predict exactly how it's going to behave. Obviously, we're not completely flying blind because we do have a pretty comprehensive process of doing comps in the market. But you really just never know, which is one of the reasons why when we model out in our product investment review process, new IP, we typically -- actually, we never model out big hits nor its upside. I don't want to necessarily call it a conservative approach, but we don't look at any sort of outlying success. Obviously, everything that we invest in and everything that we release, we're looking to achieve that outlying success, and we know for a fact that not every single one of our titles will achieve that. But that is the game we're in, and that's why we're making these investments in new IP, which ultimately is the lifeblood of our industry, and that's why we're still very much dedicated to doing that.
Operator: Our next question is from Matthew Thornton with Truist Securities. Please proceed with your question.
Matthew Thornton: Maybe two from me. Strauss has been another 3 months and AI remains a hot topic. I'm sure you and team have had more time to digest and think about it. I'm just kind of curious of your latest thoughts on how you think it will influence the business and the industry. And then just secondly, as we think about the headcount and the infrastructure that we now have in place, are we kind of at a place where you have what you need to pursue this aggressive pipeline? Or do we still need some more investment. I'm just trying to think about the OpEx leverage and how to think about that as we kind of flow through the out years?
Strauss Zelnick: Yes, as you know, I'm usually a skeptic when others engage in hyperbole. In the case of AI, I'm pretty enthusiastic. First of all, despite the fact that artificial intelligence is an oxymoron as is machine learning. This company has been involved in those activities no matter what words used to describe them for its entire history, and we're a leader in the space. So while the most recent developments in AI are surprising and exciting to many they are exciting to us, but not at all surprising. Our view is that AI will allow us to do a better job and to do a more efficient job. When you're talking about tools and they are simply better and more effective tools. I wish I could say that the advances in AI will make it easier to create hits. Obviously, it won't. Hits are created by Genius, and data sets plus compute, plus large language models does not equal Genius. Genius is in the domain of human beings, and I believe we'll stay that way. However, I think jobs can be made a whole lot easier and more efficient by developments in AI, and we're certainly looking forward to that. And as I said, we're already putting it in practice every day.
Karl Slatoff: So your second question in terms of costs. I'm not sure exactly what you meant by operating expenses. So I'll just kind of break it down about overhead. So publishing, overhead and corporate overhead. I would say, generally speaking, we're kind of at scale. We have what we need that's not to say - to achieve our plan over the next few years. That's not to say that we won't still be investing in those areas, and there will be cost increases associated with that. We're always looking for efficiencies but people do get raises, and we find needs as new opportunities arise. So I can't stand here and say that we don't have any more investment on publishing and corporate overhead, but we certainly believe that we're at scale. And we also believe that that's an opportunity for us to expand our margins based on the fact that we are at scale or very nearly at scale in that regard. On the development side, we do intend over the next few years to continue to add to our development capacity. That's something that we have been able to do successfully about 9,000 developers in-house today. That doesn't include our third-party relationships, which are vast and strong. And part of our plan is to continue investing in that area.
Operator: Our next question is from Matthew Cost with Morgan Stanley. Please proceed with your question.
Matthew Cost: The first one is just about the long-term guidance. I think you mentioned growth in fiscal '26 off of a base in fiscal '25. Presumably, there's quite a few units of new games that are being launched in that year. I guess when you think out into fiscal '26, what are the moving pieces that you see driving growth year-over-year off of what looks to be based on the numbers you've just provided a very, very strong year in fiscal '25. And then the second question is just on mobile. You announced that you're going to be launching Star Wars Hunters this fiscal year, I think the game has been in development for some time. Are you seeing something in the mobile gaming market as sort of stabilization or improvement of marketing efficiency that makes you feel this is the right time to come out with the game?
Karl Slatoff: So in terms of our confidence in talking about what would grow as fiscal '26 over '25? It's the same answer what would grow '25 or '24, which is our pipeline, and it's the makeup of that pipeline. And I don't want to get into too much detail about what title unit expectations are, whether it's unit, it's title units or it's recurrent consumer spending because the fact is it's all of the above. But in the end, it's based on us delivering the pipeline that we have on plan and achieving the results that we expect. I really don't have much more to say beyond that. You want to do Hunters?
Strauss Zelnick: Yes. On Star Wars, Hunters, you asked about the market backdrop. We are seeing some improvement in year-over-year comps. Mobile really was under a lot of pressure. The market is recovering a bit. It's still down year-over-year. In certain instances, we appear to be overperforming. And we're excited about many developments at Zynga. For example, advertising penetration, advertising that represents 27% of Zynga's net bookings, which is great. That will continue to improve. We're excited also about our direct-to-consumer platform, which obviously has an effect on our margins, a beneficial effect on our margins. So I think the backdrop is stable and perhaps improving a little bit. At the end of the day, what will matter, of course, is the quality of the title. Mobile is a very competitive space. We feel really good about Star Wars Hunters.
Operator: Our next question is from Colin Sebastian with Baird. Please proceed with your question.
Colin Sebastian: Strauss, you talk about setting new standards in the industry, and I know quality is a big piece of that. But would be also curious to know beyond that, what specific areas of innovation within your games, you would say, keep the portfolio ahead of the competition? And then, regarding the fiscal '25 commentary, I'd just be curious how of that more than $2.5 billion in incremental bookings next year. What portion of that should we think of as falling into RCS versus, I guess, unit sales? Thank you.
Strauss Zelnick: Yes. Thanks for your question. In terms of how do you define innovation, if it had one definition, I think it would stop being innovation pretty quickly. But I think our labels are known for leading in new areas, whether that's a 3D view when there wasn't one before, whether that was downloadable add-on content many years ago or in-game purchases, virtual currency or the like that was the neighborhood or the city and NBA 2K, GTA Online, Red Dead Online, what you could do in those online environments, all of those were innovations driven by our labels. And everyone who works in the creative capacity at this company is trying to think about how do we engage and entertain consumers in a way that's novel that hasn't been seen before. We actually just had an internal e-mail exchange earlier today talking about the unknowns that we know in the next 10 years, there will be extraordinary changes in this industry. This is a highly dynamic industry. And we need to be not only current, we need to be leading the charge. Sometimes historically, we have. Other times, we've missed the boat, and we want to be at the front of the line and our creative folks work in service of their passions to make the best entertainment, anyone creates on earth. And again, we don't always succeed, but often we do. Our track record is pretty great creatively. And that's thanks to our 9,000 developers who work here and another 1,500 who work outside of our 4 walls to do work that Take-Two brings to market. So I'm sort of highly optimistic on the one hand and very mindful that this is a really ambitious challenge and the ambition is it's been emotional burden for everyone who works here, but also a great benefit when we succeed. On your second point, I think you asked us to distinguish between RCS and console sale and full game sales.
Lainie Goldstein: So for fiscal year '25, we are really excited to talk about it. It's a highly anticipated year. And we're really happy to talk about us hitting $8 billion in net bookings, but we aren't talking about what the detail of that is at this time.
Operator: Our next question is from Doug Creutz with TD Cowen. Please proceed with your question.
Doug Creutz: I just wanted to talk about your adjusted operating cash flow margins for a minute. If I go back to fiscal '18 through fiscal '21, you were pretty consistently in the low mid-20% range. It slipped down below then since then, I think, is a function of you investing against your future pipeline. Your fiscal '25 guide is over $1 billion in OCF against over $8 billion in bookings, which is still only about a 12.5% margin, if my math is correct, which seems low. Do you expect that in fiscal '25, you're still going to be investing heavily against future opportunities? Do you expect to get back to that 20% plus range in '25 or thereafter? Any kind of color you've given that would be great.
Lainie Goldstein: Sure. It's definitely still going to be investing in the pipeline going forward. And we still have interest payments and tax payments through those years, but we definitely will see a lot of the titles that we have been building up on to the balance sheet coming out those years. So that will definitely be affecting the AOCF in those years as well. Operator Our next question is from Clay Griffin with MoffettNathanson. Please proceed with your question.
Clay Griffin: I guess I'm thinking about the marketing strategies for some of these big highly anticipated title is different now than they were, say, maybe in the Red Dead 2 launch. I mean, notwithstanding the fact that a larger number of titles ought to bring a higher level of marketing support in the aggregate. I'm curious if the overall level of marketing efficiency against bookings is materially different now maybe the prior generation, I guess, in other words, awareness of your IP is already quite high. So just curious on that.
Karl Slatoff: Hey, Clay. I wouldn't say that the overall marketing spend levels are different. I think we continue to spend in a consistent manner. Although the makeup of that spending and the timing of the spending is definitely different now than it has been in the past. We don't spend a heck of a lot of money on TV, really, if any, at this point. Outdoor, a lot of those items are not really in our media plan. We have a lot more social spending than we did before, targeted spending performance marketing, et cetera. And it also used to be that a big portion of the marketing budget was spent prior to the release in the weeks prior to the release and certainly within the couple of weeks following the release. We still will spend a significant amount of marketing in and around the launch date, but it is much more spread out because we have the ability to monetize for a much longer period of time, and there are certain opportunities for us to market additional content drops. So you would see our marketing budgets are definitely spread out, longer than they would have been in the past. So those are really the two changes. But no, I don't really think there'd be a significant change in the scale of what we spend.
ClayGriffin: Got it. And there was some commentary about what sounded like a onetime cash tax issue in Q4. I just wanted to confirm that. And maybe just give us a sense of I mean what that was, we expect that to repeat? And just kind of general framework for thinking about cash taxes going forward? Thanks.
Lainie Goldstein: It wasn't really like a one-time taxing. It was a timing issue. So it's not something that will repeat, but it is our tax balances for each year. So it's something that we'll have tax payments every year going forward.
Clay Griffin: But the rate that you guys have been speaking to is there's no sense that that's moving one direction or the other.
Lainie Goldstein: Well, it's like 18% estimated tax rate is in our management rate and that's in the annual rate that we use for every year.
Operator: Our next question is from Omar Dessouky with Bank of America. Please proceed with your question.
Omar Dessouky: So I guess I was wondering if you could maybe parse out a little bit implied in your operating income guidance, mobile versus PC console. I think a number of your peers guided profits roughly at the same levels for calendar '23 as was calendar '22. And I was just wondering, just for starters, whether your implied guide is up or down, if you could tell me that? And then I have a follow-up question.
Lainie Goldstein: Can you repeat the first question? I'm sorry.
Omar Dessouky: Yes. No problem. A number of your peers that publish only mobile games have guided profits at similar levels in 2023 full year as 2022 full year. And I was wondering whether your guidance implies your profitability for Zynga and your Take-Two Mobile business up or down. I realize there's a number of moving pieces such as potential revenue synergies, reducing the cost of advertising and, of course, cost synergies. But is your implied guide for mobile up or down versus last year, like-for-like, including 53 days of Zynga.
Lainie Goldstein: Yes. So on a like-for-like basis for a comparable 12 months, the Zynga mobile business is up year-over-year.
Omar Dessouky: Okay. Okay. Great. And I'm also glad that you guys addressed the $500 million of annual net bookings opportunities in the presentation. So I wanted to dig into that for a second. The first question on that is, can you give us any sense of the cadence of how you might get to $500 million? In terms of like fiscal '24, fiscal '25, fiscal '26. The reason I asked that is because you guys did put out a cadence in the S-4, obviously, that's a long time ago, but any update there would be great. So the cadence first. And then the second, the ramp to $500 million. And then the second one is you have a couple of bullet points here establishing a more meaningful presence in key mobile first emerging markets and introducing mobile games from some of our most popular improvement intellectual properties. So does that include high fidelity mobile games? Is that what you're referring to there? And specifically for Asian markets, potentially using some of your PC console IP. Lots of questions I appreciate your responses.
Karl Slatoff: Hey. It's Karl. So in terms of some of the cadence around the $500 million revenue synergies, obviously, we're still very committed to that, and we feel very good about those opportunities for us. I think in the near-term, there are several meaningful opportunities that we believe our teams can actually start to begin to activate this fiscal year. And those are really more around expanding our D2C efforts more meaningfully in some of our other games. And also things like implementing new bold beats, marketing beats across the company, user acquisition optimization, creating centralized library of customer data across the company, integrating the Take-Two databases with the Zynga databases. All those things we're going to be able to start realizing some of that in this fiscal year and then obviously accelerate that into the next few years as well. In terms of the immediate and long-term, I think this will answer I think both of your questions. We do have a vision to introduce mobile games to some of some of our most popular properties on the T2 side into the mobile space. That's something that we're having conversations right now, nothing to announce specifically but the conversations are happening, and I would characterize them as very positive, and people are excited about that opportunity. I'm not really sure I understood the sort of reference to Asia and high fidelity, et cetera. But these are intellectual properties think about them as some of our more core type games. And by definition, you would expect and again, I don't have anything to announce right now because we don't have any games necessarily in development in that regard, that those games would be a little bit more upmarket because we do believe that there's a market for that. You've seen some success in the mobile space with other folks bringing their titles to market. Call Duty is a perfect example of that. We think that there is several of our titles that have that kind of opportunity. And I would expect those games to be a little bit more towards the mid-core arena. I hope that answers your question.
Operator: Our next question is from Martin Yang with Oppenheimer. Please proceed with your question.
Martin Yang: First question on Zynga, can you tell us that Zynga's developer headcount growth since it was acquired?
Strauss Zelnick: Yes, we don't break out the headcount label by label, but we did say that we have about 9,000 internal development people at the company.
Martin Yang: My second question is broader. I want to get your broader view on console cycles. When do you plan to stop supporting past gen consoles? And what goes into the decision of stopping for the past gen consoles for certain franchise or for overall Take-Two release games?
Strauss Zelnick: It really varies. I mean, obviously, our labels will continue to support platforms for which they believe there's a meaningful audience. And if and when the audience diminishes to a point where it's not economical to do so, we stop supporting the platforms. But in general, we're pretty supportive on an ongoing basis.
Operator: Our next question is from Brian Fitzgerald with Wells Fargo. Please go proceed with your question.
Brian Fitzgerald: A couple of questions on consumer pricing, not with your titles, but we've seen discounting on some of your competitors' recent releases they were anticipated AAA titles but were being discounted within days and weeks. So do you think the gamer is still struggling a little bit with coming to terms of $70 price points, maybe still macro impacted? And then the second one related to pricing is, again, you saw a strong RCS performance. Historically, the narrative has been gaming spending is resilient because even in macro because you get that bang for buck, relatively low cost per hour of entertainment. At the same time, the model is evolving to more live services, more RCS. Is that RCS spend just as resilient as the historical industry consumer spend has been?
Strauss Zelnick: Yes. We've talked about this in the past. I mean, to take your second question first. We do think that live services spending is probably more affected by macroeconomic conditions because you don't need to spend. If you have the game, you can enjoy the game. There are certain titles that we don't really put ours into this category where you kind of have toll boots. If you don't pay, you really can't play, but that doesn't describe any of our titles mobile or console. So we think spending in a live services environment is a nice to have for the consumer, not a must-have. And as a result, if the consumer is feeling a pinch that might be an area that would be more likely to be influenced negatively. In terms of the pricing point that you raised, we're not seeing a pushback on frontline price. What we're seeing is consumers are seeking to limit their spending by going either to the stuff they really, really care about blockbusters or to value. And sometimes it could be both. And the good news is like we have a bunch of blockbusters, and we have a wonderful catalog. The other news is we also have a robust frontline release schedule and without regard to price, there has been some pressure as a result. If a consumer sees something is interesting but not necessarily yet a huge blockbuster. We think that will change. This is a growth business, and this is a unique market. And nothing that's going on now is inconsistent with the view that we outlined during the pandemic. We said at that time, we were benefiting greatly from people being at home and an odd turn of events. And we set our expectations post-pandemic, as an industry be in a better place than pre-pandemic in a worse place than during time when people were sheltering at home. And that's exactly what's happened exacerbated by a challenging mixed economy and what I believe is a recession, at least if you look at it through the lens of people who purvey digital entertainment consumed at home and e-commerce suppliers. There's a lot of pressure in those markets. But the overall tailwinds of the industry will continue. This is a growth business. It will remain fastest-growing part of the entertainment business for the next 20-plus years. And we will have those tailwinds. Now we still have to deliver in that context, and we intend to. But to torture the metaphor, the winds at our back.
Operator: Our next question is from Mike Hickey with Benchmark. Please proceed with your question.
Mike Hickey: Congrats on your '25 guide, no pressure guys on $8 billion in revenue. Just curious, you didn't guide to profitability expecting to now that $8 billion was a little bit above consensus view. Just curious how we should think about profitability, I think consensus for is over $8 in EPS. I don't expect you to confirm that either way, but just thoughts on how we should think about profitability on '25, especially given that we have extended timelines now on development and what impact that could have? And then the second question, just another one on AI, Strauss. I'm glad to hear your positive on it. That's nice. Just curious on the mobile side with AI and barriers to entry. Just curious if you think that will have any challenges in terms of more competitors coming to the market? Thanks guys.
Strauss Zelnick: Thanks, Mike. Well, we basically have indicated profitability by talking about our operating cash flow. You're right. We haven't gotten granular because we're not providing initial specific guidance, but we do expect that fiscal '25, '26 and beyond will be highly profitable years. And we've said repeatedly in these remarks today, we expect to grow our margins. That's a big part of what our financial objectives include. With regard to AI and mobile, I think the implication of your question is does generative AI allow people who aren't in the business to make mobile hits by saying to ChatGPT, “Come up with a great idea for a new mobile hit. Oh, and by the way, please code it for me, too.” And while you can do that now, you should give it a try and you'll see what happens because we certainly have tried it around here. And let's just say that, no, you will not be able to create hits that way. I mean remember, what you're looking at with AI and what you will always be looking at is a data set compute and at least sitting here today, large language models. And in the future, you may not be looking at large language models or they will change, but you'll still be looking at a data set and compute. And a data set by definition, is backward-looking and hits in the entertainment business by definition are forward-looking. And no matter how intelligent and I use the word in quotes very much in quotes, maybe multiple quotes. “A machine is not going to be able to look forward. A machine can predict based on data sets and using massive compute and using large language models.” We're all super excited about what we see because we haven't seen before the possibility of doing a natural language query and getting a natural language result. That looks incredibly cool. But to confuse that result with intelligence and creativity is like confusing a magic trick with magic. It's not magic. It's still a magic trick. So that's where I'm at on this. No AI is not going to allow people to push a button to make a hit. However, AI is going to make certain elements of any process that requires coding easier for everyone, for everyone, not disproportionately for anyone, for everyone.
Operator: [Operator Instructions] Our next question is from Gerrick Johnson with BMO Capital Markets. Please proceed with your question.
Gerrick Johnson: On the topic of delivering mobile games direct-to-consumer, what kind of share are you targeting for downloads in MTX? And then, what kind of margin lift would you see on a game-by-game basis as well as a consolidated basis?
Karl Slatoff: So we haven't disclosed what our target is. We do think it's a significant opportunity for us. So it certainly is greater than zero and less than 100%. We don't think that it makes sense in all cases to go to direct-to-consumer, but we do think there's a lot of room for us to grow from where we are right now. I think it's the second question. What was the second?
Strauss Zelnick: What was the second part of your question?
Gerrick Johnson: Margin list.
Karl Slatoff: Yes. Well, I mean, again, I don't think we've talked about the margins, but you can kind of back into them yourself. I mean we're doing it ourselves and the sort of the take rate, obviously, is much, much, much lower because you're really talking about payment clearances and things of that nature. When you go to do the rates, other rates that may be in them.
Operator: Our next question is from Benjamin Soff with Deutsche Bank. Please proceed with your question.
Benjamin Soff: Just one on the slide. So LEGO Drive is listed under the mid-core section, but it seems like a $70 price point with a full year of seasonal updates. And to me that would seem like an AAA title. So do you mind expanding a bit on the difference between immersive and mid-core in your mind? And then apologies if I missed it, but are you expecting both top line and bottom-line growth in fiscal '26? Thanks.
Karl Slatoff: It's a funny question you asked because we've debated this exact thing internally, whether or not like a LEGO title, for example, is a mid-core/arcade or is it immersive. And it really isn't a question of quality and the amount of gameplay that's involved. So the $70 price point, I would say, is a bit of a red herring. We think that the game is certainly worthwhile with that experience. But the experience itself when you look at sort of the over -- if you compare that experience to a Grand Theft Auto, for example, obviously, there's a big difference. In the depth of the storyline, the vastness of the world, et cetera, LEGO Drive is an open world driving experiences, but it's not Los Santos, so there's quite a bit. It's probably not even the City with NBA. So the term is probably a little bit of art in terms of how we classify things. But in this particular case, just given the look in the field of the game, we thought that mid-core/arcade was the right categorization of it. But there's no specific guideline other than kind of in this particular case, it kind of felt that way. And I should also say, sorry, Lainie was about to answer the other question. Whether it's mid-core or arcade versus core or immersive, that doesn't necessarily indicate our expectations about commercial success because you can have a commercially successful title, that's mid-core or casual.
Benjamin Soff: Yes. Okay. Got it. Go ahead.
Lainie Goldstein: For fiscal '26, what we've said is that we expect net bookings and operational results to be higher than fiscal '25. So that would imply that both would be growing.
Operator: Our next question is from Stephen Ju with Credit Suisse. Please proceed with your question.
Stephen Ju: Okay. Thank you. So Strauss, I certainly do not want to put words in your mouth, but your answer to one of the prior questions. It sounded like you were talking about incremental barbelling of industry dollars, I guess, similar to what you were seeing during the financial crisis. And then I guess in an environment where only the AAA and the value games are going to capture dollars and the stuff in the middle may be in some trouble. So what are you doing at the studio level that is different now to maybe adjust for that environment. And Karl, like what are you doing at the private division level to adjust to what might be the new normal? Thanks.
Strauss Zelnick: I think that's right. But at the end of the day, it just means quality. Just means you have to put out great stuff and that speaks to private division as well and that's always the case. This is less about changing strategy because our strategy is that everything that we put out should be just spectacular and more just a reflection of where the consumer sits. And the consumer will return, and this is going to be a growth business. As long as we make the highest quality titles, we should do just fine. Private Division's approach has never been based on sort of taking a shortcut on quality. Its approach has been let's bring into the 10 developers who might not otherwise bring their products to Take-Two. And in certain instances, we can deliver an A+ title on a more economical level than we might be able to do in-house. And that's been proven out and Private Division has generated a lot of successful titles. And in fact, virtually everything they've done, not everything, but virtually everything has been successful.
Operator: Our next question is from Matthew Thornton with Truist Securities. Please proceed with your question.
Matthew Thornton: Hey, guys. Just a quick follow-up. I'm not sure if this is for Strauss or Karl. We've talked about DTC on the mobile side. You guys have DTC experience with the Rockstar launch or on the PC side, if we think out a couple of years, given the scale you're going to be at as the world perhaps starts to take more steps towards streaming. Do you see the opportunity to perhaps partner on the back end or white label the streaming back end to go D2C on streaming, again, given the scale you'll be in a couple of years. Just kind of curious if you're thinking about that yet. Thanks again.
Strauss Zelnick: Our strategy has always been to have the broadest possible distribution. We were a leader in digital distribution in the very beginning. And one of the reasons we did so well is that we basically were willing to do business with everyone whose terms made sense to us and who were good market participants in terms of security and compliance. And to the extent that streaming is a viable business opportunity and technology for our industry. Of course, we'll avail ourselves of it. And I'm certain we'll work with third parties as we have in the past. We were I think the first license for Stadia, for example, sorry, didn't work out, but we were there to support the effort. And equally to the extent that it makes sense to have our own platform, we will do that, too. But we're not very unlikely to be exclusively limited in one direction or the other. We want to be where the consumer is.
Strauss Zelnick: So I think that's all the questions we have today. Thank you so much for joining us. We're thrilled with these results. We're more than thrilled with our outlook. I want to reiterate our gratitude to our teams around the world who show up every day with more or less with smiles on their faces, mostly with smiles. Aiming to do their very best work in pursuing their passions. I want to thank our business teams who bring their great work to market and make sure that we run our business in a first-class fashion. And of course, I want to thank our shareholders for their support and confidence in us. Have a great day.
Operator: Thank you. This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.